Operator: Good afternoon, ladies and gentlemen. Welcome to the AGI second quarter 2013 conference call. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Gary Anderson, Chief Executive Officer of AGI. Please go ahead, Mr. Anderson.
Gary Anderson: Thank you, Marcus. Hello everyone. Welcome to our Q2 investor conference call. I have got Steve Sommerfeld, our Executive Vice President and CFO with us today and also Dan Donner, Senior Vice President of Sales and Marketing. It’s a nice funny day out here in Winnipeg. It’s a little crisp this morning, maybe 48 degrees. We are starting to think about harvest over here. And it’s an exciting time of the year. So I have got a few just prepared remarks that I’ll go through and then open it up to questions that shouldn’t take too long here, okay. So on behalf of the board of directors, management and staff we are pleased to provide you with our Q2 2013 quarterly financial results. This quarter marks the last of the fourth quarters impacted by the 2012 U.S. drought. As expected the drought effect dissipated with the completion of a successful spring planting season. We can now officially dust ourselves off and move forward with the optimism of a new crop year. I would like to command all of our dedicated employees, independent sales reps, dealers and distributors who have managed and stick handled nimbly through a most challenging period. Their efforts and results are demonstration of the strength of our team and indeed the value of our distribution network. I would also like to express our sincere appreciation to our shareholders and to the investment community who stuck with us believing in our ability to successfully navigate troubled waters. We will show you a rebound in H2 of ‘13 and sustainable growth in 2014 and beyond. International sales development continues at an encouraging pace and I don’t know to how describe that but I don’t want to get too carried away but encouraging isn’t quite the adjective that I would use in a discussion with someone across the table. There are strong indications that we will hit out internal growth targets for ‘13 and I can assure you those were stretched targets. We are very pleased with how things are going internationally. Shipments to Ukraine for our new strategic customer are in high gear. We are working hard to accommodate last minute additions to their needs for this fall. Harvest in Ukraine is expected to be substantial. We had dinner with the fellow last week that was telling us probably around 56 million metric tons of production I think up from 45 is that sound right. As of early August, international sales and order backlog generated by Winnipeg led sales team are up 71% over this time last year. We are already starting to build our book for Q1 of 2014; our quote log is once again taken a step change increase, now at a run rate exceeding $500 million. It is both the reflection of our very active international marketplace and our increased presence within it. It also speaks for magnitude of the infrastructure gap which fundamentally needs to be addressed in many parts of the world regardless of the ups and downs of a single season demand drivers. And it also speaks very well through our catalog and to our strategy and the execution of it that our team is doing. Further organic growth through research and development is progressing favorably during Q2 four new commercial projects all higher capacity applications released to production floor, five new on [farm] products are in the final stages of prototyping and testing this season. Financial results there maybe not are impacted immediately however the innovation is most certainly provides our sales team with additional markets stimuli. It’s always great to have sales guys can go out and talk about some new things that are happening back at the divisions. And we expect R&D activity to gain further momentum in 2014. As harvest nears we are ramping up production at most of our facilities, conscious as always of employees safety and quality standards, crops in Western Canada look amazing with number of this have been up and down as always and is very difficult to find that crop anywhere in Western Canada. We expect to U.S. corn-belt to return to much more traditional harvest pattern with corn prices up $3 additional from last year and driving to expected to play a larger role than the previously two harvests. We will see more grain handling activity taking place at the farm gate. Commercial elevators are also preparing for more normal harvest season, last minute customer orders have been squeezed into our production schedules and more interest has been expressed in temporary storage systems. USDA recently released their long-term view on U.S. production with corn projected about 13 billion bushels annually. Overall, we are abide by our belief in the long-term agriculture fundamentals that we will continue to drive global demand for our comprehensive yet I would say specialized catalog of grain handling, storage and conditioning equipment. So we are pretty excited about our future and (inaudible) just open it up to questions here. Okay.
Operator: Thank you. We will now take questions from the telephone lines. (Operator Instructions) Our first question comes from Spencer Churchill from Paradigm Capital. Please go ahead, your line is now open.
Spencer Churchill - Paradigm Capital: Just maybe on in terms of the outlook obviously very robust given looking at be the big corn crop in the U.S, but I guess the flip side of this as you said weaker grain prices. And I'm just wondering have you had any feedback from your distributors or in customers in terms of what the settlements like at the farm level with corn below $5 her?
Steve Sommerfeld : Yeah. Interesting Spencer just three of us in the room, we are all trying to jump on this, Dan just go ahead Dan
Dan Donner: I had some interesting perspective on that distributor. So last year at this time, corn was probably $3 higher per bushel at a farm level. A lot of the corn last year went straight from the field to the elevator; it didn't go into storage at the farm where this year with the lower prices, bins are being filled up, people are anticipating storing more gain to try and write out at low price and hit a higher market number. So, the $5 per bushel is actually acting as a bit of incentive to put up storage to buy the hand-made equipment that's necessary to fill storage in the U.S. market this year.
Spencer Churchill - Paradigm Capital: Great. And then maybe it could be a relating question, but non-maintenance CapEx that you took in the quarter of almost $9 million for expansion in the portable and grain market. Just maybe if you can give a little bit of color here on what you are seeing on the demand side there and what are some of the factors behind deciding to make to this expansion?
Steve Sommerfeld : Yeah, so that is relating to the primarily those dollars would relate to the Batco expansion and Batco’s current and that’s absolutely for, we're today still in very crowded conditions in our existing facilities and we have been putting band aids on this forever. I think I might use the analogy years back. My dad was a mechanic and I think our car always got fixed last in our hometown in Chaplin. So we've been investing in lot of other places and have never really put investment back into current and we're very excited to do so. If you looked at that Batco’s financials last year, it would be hard to tell that the receiving, we've just been pushing hard and that actually unfortunately suggest that we've been leaving something for the competitors because of that. So we've been investing, we've invested in to our new facility quite a bit larger. The new paint line is installed. We're doing our first run, just the test in quality. So the commissioning process is underway right now and it’s looking really good. Our backlog is so critical right now. A lot larger, again than last year at this time for obvious reasons and so we're not going to move into the building until we look out for our customers so we probably won't be moving to the new plant until may be mid-October or so. But its great investment in a great little operation out there.
Spencer Churchill - Paradigm Capital: Okay that’s great and then maybe just switching over to the national side. Obviously you sound like things are going very well there. Maybe you could just comment on the timing of how the $33 million that’s left on the $42 million order will flow through and then the additional $11 million that you got from the same customer for Q4 delivery was this an expansion on that same project or was that a net new project that they gave orders for?
Dan Donner: It's Dan again. These are multiple projects these are multiple projects, so for the first order that represented two projects that are actually been constructed right now, the shipping for those, is actually we should wrap up in end of August. The new shipments for the additional projects will ship in Q3, Q4.
Spencer Churchill - Paradigm Capital: Okay. And just maybe one final question on tax line, on the gross on the Canadian side of business a little bit weakness there you mentioned buying patterns, I mean is this something we saw we’ve seen from what's -- one of your competitors last couple of quarters and I think they mentioned this quarter that the impact is almost doesn't end here, would you agree with that and can we see more normalized patterns emerging in the second half and in 2014?
Steve Sommerfeld: Right, (Inaudible) this is Steve. So looking at a couple of things on that, when I think if you want to highlighted our -- as our 2012 number was exceptionally high, it was a record, in excess of 20% compared to the highest Canadian sales in previous year. So when entering 2013, as Dan spoke more in the U.S. context, we [weaved] down a lot of Canadian farmers put their grains straight to market, these are (Inaudible) we're getting from the seed coming into the year was you know the things are ramping -- we are not past the line that sticks in my mind. So that will dampen some demand for the storage and conditioning through ‘13. The buying pattern of that distributor, you have to be asking that shift a little bit here into Q3 but all set, what we see strong demand on the portable side, commercial side, the storage and conditioning we don’t expect to achieve 2012 levels.
Operator: Thank you. Our following question comes from Christine Healy from Scotia Bank. Please go ahead, your line is now open.
Christine Healy - Scotia Capital: Couple of questions for you I guess just again on the Ukraine order if you were to strip out the impact of those large Ukraine orders from that customer would you still expect sales growth in the second half this year versus second half last year?
Dan Donner: It’s Dan, I'll respond to that. We probably were in addition to that order, we're seeing activity in Central America, South America, Russia, I think it’s a fairly significant order we take that away in isolation, we made the decision to go behind this customer and this order to some extent, but I think we'd be flat with last year. Although the timing of the other orders in Latin America, Central America are such that their 2014 Q1.
Christine Healy - Scotia Capital: Okay. That’s really helpful, thanks. And then also on Canadian sales, I'm just hoping that you guys can give some kind of update on the Glencore-Agrium situation, I know the transaction hasn’t closed yet. So it’s still Glencore that owns those assets. Have you had discussions with Agrium to see if they still plan on carrying your product lines and those old Viterra outlets, and are you confident that it's just really just a change in your buying patterns?
Gary Anderson: Yeah, its Gary here. We haven’t talk to Agrium recently, we certainly talked to them after the deal and the rationale was that, they've paid the dollars for them and they were going to continue with the equipment. So our information is true we weren't very work very closely with Viterra on several different product lines, several divisions and our discussion there it’s going to be continuing on. Buying patterns and we'll see how they change over time. I think is there's another context for all those buying patterns too, is the whole Canadian [leap board], the crop we had last year, that Steve spoke to is getting sold right away over the winter and (Inaudible) emptied out, before would have been probably farmers sitting on it for upto 18 months before it would all flush through the systems. So there's several dynamics going on in western Canada right now that affect it but I think we're pretty confident that the equivalent of the Viterra business over time will still be there probably for all of us, it's a matter of and them getting legs under them and getting rolling again.
Christine Healy - Scotia Capital: And finally getting the transaction closed, it's taking forever.
Gary Anderson: I mean, that is pretty hard on everybody, I can't imagine the employees they get a pretty high marks in book for still hanging there and doing a job every day on behalf of the customers.
Christine Healy - Scotia Capital: Okay. Just one final question for Steve. Steve on your drip, it looks like that participation rate may have increased and is now closer to 15%, is that a reasonable assumption to use?
Steve Sommerfeld: Yeah, that is running around 13%, it has been the last couple of months.
Christine Healy - Scotia Capital: Okay, great. Thanks guys. That's it from me.
Operator: Thank you. Our following question comes from Damir Gunja from TD Securities. Please go ahead, your line is now open.
Damir Gunja - TD Securities: Maybe just one from me as lot has already been asked. On the dividend, I guess with the stronger back half coming through this year and likely leading to some nice growth in EBITDA and cash flow, and your conservative payout ratio, what's your latest thinking on the dividend are you guys content to leave it be, the time being or is there sort of a thought kind of revisiting at some point?
Steve Sommerfeld: You know it's just Tongue-in-cheek when I say that, but after a near-death experience, you don't -- I don't know that we want to visit it right away. But straight, it's in the end it isn't that strange discussion to have when you have a forward look on it. But really nice to have the tightness relax a little bit on where we're headed going forward. So, in all likelihood in the near term, [leave it alone].
Damir Gunja - TD Securities: Okay. Thanks.
Steve Sommerfeld: Yeah.
Operator: Thank you. The following question comes from John Chu from AltaCorp. Please go ahead, your line is now open.
Jennifer Wood - AltaCorp Capital: Hi there, actually it's Jennifer Wood sitting in for John Chu today. Hey guys. Just a question about the excess storage capacity that you recorded in your press release today into 2013. Have you seen any signs of this changing or decreasing over the first half of this year?
Steve Sommerfeld: Right. Hey Jennifer, it's Steve. So really where you will see that change will be with the (inaudible). So last year commodity prices were very high at the fall, farmers incentivized to the stores. You know this year commodity prices have come off considerably. We expect increased the pharmaco store more on the farm this year compared to last year and you will see that storage percentage increase.
Gary Anderson: And with that for us, a lot of it’s just related to the great (inaudible) activity and that’s what [spurs] our business.
Operator: Our following question comes from Nelson Mah from Laurentian Bank Securities. Please go ahead. Your line is now open.
Nelson Mah - Laurentian Bank Securities: I will give a shot at this. So the [downturn] of change between first half and second half. I mean I am not for guidance, but would be like what - in 2012 the last year was there a big delta change too? And what would that be?
Steve Sommerfeld: I am not sure I understand your question.
Nelson Mah - Laurentian Bank Securities: Well, I guess you are actually (inaudible) I am trying to understand the second half to be a lot stronger than the first half. Lets’ try and understand like how big or soon will that be?
Steve Sommerfeld: I think, well probably what you said if we look at earlier a year that (inaudible) impacted when compared with second half of ‘13 to an earlier year, not certainly ‘11 but a ‘10 or earlier to just answer what kind of the second half, a normal second half might look like.
Operator: Thank you. (Operator Instructions) The following question comes from Mark Robinson from Cormark Securities. Please go ahead. Your line is now open.
Mark Robinson - Cormark Securities: What is your historical success rate sort of broadly speaking on quoting activity in international markets?
Steve Sommerfeld: You know, a wise old man once told me that the industry runs at about a 10% kill rate on your court log, we are running above that and I think we are running above that because we have catalog that we can bundle and base together and have little extra leverage there, so its…
Gary Anderson: We are running above that industry 10%, and if you strip out project that we quoted that did move forward at all, it is either they didn’t have financing or the business model that play in. I’d say we are, I don’t wasn’t to quote the percentage but we’re quite a bit above the industry average. We are qualifying a lot of people for project.
Mark Robinson - Cormark Securities: Okay. Just to recall that the $42 million contract came as sort of two trounces; there was the better margin 28 million and then there was lower margin 14, something like that. So this $11 million incremental contract that you’ve won, can you comment on the margin profile of that is in the highest sort of close to that 28 or closer to the 14?
Gary Anderson: Yeah, it’s got a much smaller component of the third party purchases in there, so it’s slightly better margin.
Steve Sommerfeld: Most of it would be at our normal equipment selling margin.
Mark Robinson - Cormark Securities: And the $500 million that you are quoting in the quote log there, can you comment on the margin profile on that?
Steve Sommerfeld: Yes, good question. I’d say in the quote log because of the percentage of high capacity, [port] facilities we’re quoting, inland terminals, there is a higher percentage of higher roller tactical division is typically to get better margins, but they are longer decision cycle projects. So you draw some conclusions from that. The quote [logged] to 500 plus million that we are quoting, it’s actually the better margin than --.
Mark Robinson - Cormark Securities: Okay. And then just finally is that 500 million, you sort of alluded to it, is that just the timeline associated with that. Are we talking like is that all for delivery within next 24 months, 12 months, what’s your best guess.
Gary Anderson: Well maybe to give you I thing to the bottom of the core of your question, we are far more confident with what we’ve got to fill up Q1 of 2014 now than we were at this time last year. We’ve got more commitments for 2014. So out of that 500 million there are some projects that I fully expect won’t come off till 2015. But in our forecast for the balance of this year or the early part of 2014 we are confident that we are far better off than we were in this time last year.
Operator: Thank you. The following question comes from Robert Winslow from National Bank Financial. Please go ahead, your line is now open.
Robert Winslow - National Bank Financial: Just a question on something that is showing up in your risk section of the MD&A, and it may just nuance but it’s regarding the CRA. There is some language in there that we haven’t seen before, and I just wonder if it’s a lawyer asking you put that in just as I say it’s nuance but the quote was that CRA has requested for its review information relating to the conversion and the company has responded to such request. Is this new information or again is it just nuance?
Steve Sommerfeld: No it’s not new information about what we preferably stock really earlier in the year. I commend for your thorough reading of this documents and that was a way to insert just to be more fulsome in our disclosure but it's nothing there.
Robert Winslow - National Bank Financial: That is what I was thinking, and I just want to confirm that, thanks very much.
Operator: Thank you. The following question comes from Jason Zandberg from PI Financials. Please go ahead. Your line is now open.
Jason Zandberg - PI Financials: I just wanted to - a quick comments on the accounts receivable on your balance sheet. It just seems like it’s a little bit higher than typical, especially given the decrease in sales during last two quarters. Can you give us some more color on that accounts receivable in terms of why it’s sort of trending up and again I guess it’s not differently but it’s going in the high direction?
Steve Sommerfeld: Yeah, so there’s basically two things I guess Jason its Steve here. Number one is with this drilling (inaudible) and the natural business we have sales terms for those are typically longer terms sales, as it’s a financing requirement of our customers overseas, and that trend will continue. We are looking at June 30 snapshot, I think what you are seeing a little bit up too is you know the (inaudible) and receivable collection being somewhat slower that clearing up now in to Q3 as it gets more fully into the crop season
Jason Zandberg - PI Financials: Okay, so there is no aging with out of the ordinary that’s going on there. You know past around, I understand you are seeing this a bit lengthening but not anything that’s getting close to bad debt level?
Steve Sommerfeld: No systemic change in our receivable profile, no.
Operator: Thank you. We have no further question registered at this time. I will now like to turn the meeting back over to Mr. Anderson.
Gary Anderson: Okay. Well thanks everybody for the questions, I appreciate you calling in and listening in. We've got a lot of things underway here for our peak season and pretty excited about running out at the end of the year and like we say it's lucky to so much different it was a year ago, going into ‘14 as well, like I say starting to fill in Q1 and it's back to being the driving down the highway at the speed we'd like to drive at instead of where we were. So thanks again for hang in there for your shareholders that [toughest year] with us over the last year and we'll bring some good results next year too. Thanks. Bye, bye
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.